Operator: Good day ladies and gentlemen and thank you for standing by. Welcome to Manchester United Fourth Quarter and Fiscal 2013 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions). I would like to remind everyone that this conference call is being recorded. Before we begin, we would like to inform everyone that this conference call will include estimates, and forward-looking statements which are subject to various risks and uncertainties that could cause actual results to differ materially from these statements. Any such estimates or forward-looking statements should be considered in conjunction with a cautionary note in our earnings release regarding forward-looking statements and risk factor discussions in our filings with the SEC. Manchester United PLC assumes no obligation to update any of the estimates or forward-looking statements.  I’ll now turn the conference over to Ed Woodward, Executive Vice Chairman of Manchester United. Please go ahead sir.
Ed Woodward: Thank you very much, operator. And thank you everyone for joining us today for our full year results call. With me on the call today are Michael Bolingbroke, our Chief Operating Officer; Hemen Tseayo, Head of Corporate Finance and Samanta Stewart, who joined us in June as Head of Investor Relations.  A lot has happened since our IPO last year and we are delighted with our achievements in our first year as a listed company. On the pitch our club excelled and delivered yet another Premier League title, a record 20th English league title. Off the pitch we have also set records by generating higher revenues than ever before, as our commercial business delivered an impressive 30% growth with sponsorship revenues up an outstanding 44%. The past few months since our last quarter being particularly eventful, Sir Alex Ferguson announced his retirement after an unparallel 26 year career at the club during which he won 38 trophies. As we pay tribute to Sir Alex and his remarkable achievements, we are delighted to welcome David Moyes as our new manager who Sir Alex strongly endorsed as his successor. We are delighted to have David on board as his experience, integrity and outstanding work ethics make him a perfect fit for this club. He has already won our first trophy of the season, our 20th FA Community Shield trophy in August. Our commercial business continues to be a strong engine of growth. Since the balance sheet date of 30th of June, we’ve signed and announced several new deals welcoming two new global partners, Aeroflot as our international airline partner, and Bulova as our timepiece partner. Four new regional partners, Pepsi as a soft drinks partner in seven territories in Asia, tyres partners including Federal Tyres in Taiwan and Russia; Apollo Tyers in four countries; and finally Manda Fermentation our nutritional supplements partner in Japan. We’ve also added 10 financial services, telecom and MUTV deals including the renewal of MBNA in the UK and new deals with Commercial Bank of Qatar, Emirates NBD, INVEX Bank in Mexico, SkyNet and TV2 as MUTV partners in Myanmar and Norway and True Group as a mobile and MUTV partner in Thailand. Since acquiring the remaining stake in MUTV from BSkyB earlier in 2013, we’ve made good progress on our digital media assets. In May we hired David Sternberg, a former Fox Sports executive to guide our digital media strategy and platform expansion. Over the past few months we have successfully launched on both Twitter and Sina Weibo as well as official page on Google+, Instagram and Renren. Here is some statistics I would like to share with you. On Twitter as of today at 9 o’clock this morning UK time; we had 994,000 followers making us the fastest growing sports feed on twitter over the first month post launch. We are hoping to reach a million sometime later today. We are the third fastest growing presence on Twitter in the first 24 hours, after only the Pope and the Clintons. On Sina Weibo we have 1.1 million followers and United was the fastest growing sports team on the platform in the first month post launch with twice the rates of growth over the second fastest club previously. Also we became the number one Premier League Club on Instagram within 24 days of launch in that club page. On international broadcast rights the Premier League has not yet publicly released the total files of the new deal, but indications are that the clubs will be getting an increase of around 35% to 38% on the previous three year deal. On the pitch, we’ve also strengthened the first team through the acquisition of Fellaini and Varela and Wilfried Zaha joins the squad having been [inaudible] with his former club since its acquisition in January. With no player disposals we now have not just a strong squad but also a very deep one and well positioned for the season ahead. We continue to make significant investments in talents and infrastructure to grow our business. A year ago we successfully opened our Hong Kong office and are being very happy with the pace and quality of the partnerships we have entered into in Asia. During the IPO road show last year, we walked you through how we would use the scalpel rather than the spade when segmenting our sponsorship opportunity across categories and countries. We believe the many cash groups can generate a higher profitability when explored on a regional rather than a global basis. For instance with soft drinks, we have three partnerships covering nine countries, and with tyres we also have three partnerships covering seven countries. We remain convinced there are huge commercial opportunities out there both in terms of categories as well as countries and we are excited about the growth ahead. Before I turn the call over to Michael to discuss our financial performance, you will be aware that in June, we refinanced all of our sterling bonds and a small portion of our US dollar bonds with a new cheaper term loan resulting in interest savings of around £10 million per year. This transaction highlights the robustness of our balance sheet and the strength of our underlying business. Michael, over to you.
Michael Bolingbroke: Thank you Ed and good morning everyone. I'm going to focus my remarks on the full year numbers as the seasonal nature of our business doesn't lend itself to single quarter analysis without significant explanation or understanding. Furthermore as I have mentioned before on previous calls, unless I mentioned otherwise, all figures are in UK sterling. We’ve announced our fiscal 2013 results today with revenue up 13.4% to £363.2 million and adjusted EBITDA up 18.6% to £108.6 million, in the top half of our guidance range and reflecting in particular strong performances in our commercial and our matchday businesses. We’ve added the new metrics of adjusted net income and adjusted EPS as we believe in assessing the comparative financial performance of the business, it is useful to strip out the distorting effects of material charges and credits related to one-off transactions, such as the IPO, including the associated recognition of deferred tax assets or liabilities, the repurchase of a portion of our U.S. dollar bonds in September and the refinancing in June, and then to apply a normalized tax rate of the U.S. statutory rate of 35% both for current and the prior periods, and there is a reconciliation for these numbers in the earnings release. Adjusted net income grew 282.2% to £17.2 million and adjusted earnings per share increased 266.7% to £0.11. This highlights the improved underlying financial performance of the business. Instead of going to every item in our P&L, I think what might be more useful would be to highlight key metrics on which you should focus. Firstly, our EBITDA margins improved 1.4% to 30% as our commercial business grew strongly. In ’12-’13, it represented 42% of our total revenues, that’s the commercial business represented 42% of our total revenues versus 36.7% last year. Now within the commercial business, Retail, Merchandising, Apparel & Product Licensing revenue grew 14.2% and New Media & Mobile revenue grew 11.1%, while Sponsorship revenue increased by 44.1% to £90.9 million due to the addition of new global and regional partnerships and renewals at improved rates. Broadcast revenues were down very modestly due to the market pool element of our Champions League distributions for fiscal 2013 being based on a 25% share for finishing second in the Premier League in the prior season compared to the 40% share in fiscal ‘12 for winning the Premier League in 2011. 2013 share should have been 30% but to the unusual circumstances of Chelsea winning the Champions League in 2012 but then finishing 5th in the English Premier League. Their required inclusion caused the dilution of the payments to other participants. Matchday revenues were up 10.5% to £109.1 million, as we hosted five home domestic cup matches in fiscal 2013 compared to only one in fiscal ’12. We also hosted a number of matches during the 2012 Olympic Games. Operating expenses increased 8.8%, as we have increased staff numbers to support the expansion of our commercial business and had higher variable costs associated with the greater number of domestic cup games. Overall, we generated an operating profit of £62 million in the year and that is an increase of 38.2% over the same period last year. Net finance costs for the year increased £21.3 million to £70.8 million and this is primarily due to the premium paid on the redemptions of senior secured notes in 2013 and the retirement of notes following the IPO. But clearly following these actions, our underlying run rate will be lower in 2014 and I will provide guidance on that when discussing our outlook. With regards to the tax line, we recognized a large tax credit during the quarter of £134 million, but I want to highlight that this is a non-cash credit which relates to the recognition of U.S. deferred tax assets as a result of reorganization transactions related to the IPO. Now in the past we have discussed cash flow and balance sheets statements, but since we provided detailed information in the release, we will save that time and allow a longer period for your questions. First, turning to the outlook for fiscal 2014, we currently expect total revenues to be in the range of £420 million to £430 million and for our adjusted EBITDA to be in the range of £128 million to £133 million. I’d also like to give some color on a few other items that you may find instructive when modeling our company. We currently expect amortization of player registrations to be approximately £49 million. And as you know, this can change if we either extend the players’ contracts or obviously [buy or sell a player]. We currently expect interest expense of approximately £26 million in the fiscal year 2014. Now regarding our tax rate; excluding the impact of truing-up our estimate of the step-up element of the deferred tax asset, we expect our effective tax rate to be approximately 35% to 2014, but this will vary subject to the relative magnitude of permanent differences. I will now turn the call back to Ed for closing comments.
Ed Woodward: Thanks, Michael. We remain very excited about our business and its great potential. As we mentioned before, the value of live sports continues to increase, which should lead to further growth in our broadcasting revenues. Bob Iger, Disney’s CEO recently reminded everyone during their earnings call that most sporting events are watched live and are DVR-proof, making incredibly valuable to advertisers as well as cable operators. I also want to share a [quite recent] model used during the Analyst Day in August 2013. There is a reason sports cost a lot. It's a most important content on television period. This is a content that drives new technologies, defies manipulation and advertisers crave, we couldn't agree more. Many of you will have taken a subway and you recently or walks around Times Square and encountered all the recent NBC ads for the Premier League. The early statistics look very encouraging. NBC reported that they have the highest viewership for the games broadcast during the opening weekend. So the viewership growth of 78% above the ESPN, Fox soccer average for the opening weekend last year. The big viewership for the first Manchester United game against Chelsea a couple of weeks ago was the broadcast in the middle of the afternoon on Monday in August was NBC's biggest [retail in] audience since the Olympics. We are encouraged by the statistics and the potential growth in the U.S market. With regard to Nike, the renegotiation of a deal we entered in 2001 presents a great opportunity and we believe that repricing at current market rates will be attractive. Discussions with Nike ongoing, and as we previously stated, as things we have used we would share it with you. I would like to you reiterate that we continue to make a lot of progress on digital media. The new platform is due to launch in late 2014, with meaningful revenue contribution likely starting in 2015 and ‘16. We are working hard to refine our strategy and won’t rush to launch until we are ready. Our Facebook following continues to grow at an incredible rates as thus our CRM database, demonstration strength of our brand, and the depth of our loyal following of 659 million fans worldwide. I recognize that player cost and financial fair play remain hot topics as transfer fees hit record level this summer. As we have said it and we continue to believe FFP will have a positive impact in the long term, and already we’ve seen many actions taking by UEFA to sanction teams that have breached the rules. Let me share with you some of the recent takeaways in the ECA meeting I attended last week. Five clubs that had qualified did not receive a license from UEFA for this year’s European competitions. Parts of the financial fair play rules require [simple] credit fees to be paid on time. These rules started earlier in the breakeven test and began two years ago. These overdue payables have reduced from €57 million in 2011 to just €9 million in 2013 demonstrating that clubs are reacting to the financial fair play rules. Wage growth overall has slowed and for the first time in years is being eclipsed by revenue growth. The latest figure show a €600 million reduction in aggregate losses of Europe’s first division club in the last financial year after six years of increasing losses. We’ll continuously look at ways of making our team even more powerful while managing closely the cost side. We expect overall wages in financial year 2014 to be up in the low mid-teens percent due to a mixture of increasing staff headcount and step up in player cost from new and existing players. So in summary, we’re excited about the year ahead and we look forward to sharing our accomplishments with you during 2014. Thank you and I think we are ready to attend the questions now, operator thank you.
Operator: Thank you. (Operator Instructions) First question comes from Brian Russo from Deutsche Bank. Please go ahead.
Brian Russo - Deutsche Bank Securities Inc.: Hi thanks for the question. Now that its parent Nike hasn’t taken advantage of the exclusive negotiating window, I was hoping if you can give us your latest thoughts on a kit sponsorship and how should we think about the timing of a potential new deal? Thanks.
Ed Woodward: Thanks. I’ve said earlier on where we were and I am not going to give much more. Negotiations with Nike are ongoing and we’ll update you when we have something more to say on that.
Brian Russo - Deutsche Bank Securities Inc.: Okay, thanks.
Operator: Thank you. Next question is from Randy Konik from Jefferies. Please go ahead.
Randy Konik - Jefferies: Hey how are you? Can you just give us a little thought process around the digital media side, with MANU TV coming in, what are your plans there and how should we be thinking about that business rolling out in the future? And then just on the commercial revenue side of things, any change in terms of additional product categories or additional sponsorship categories you have been thinking about. Do you still foresee the split of geographically where these sponsorships are coming from to really accelerate in a large way in Asia just trying to get some thought process around where we should be thinking about that commercial segment in the next 12 to 18 months? Thanks.
Ed Woodward: Thanks Randy. Digital Media, first of all your question of how we’re viewing the roll out. I think we have done two major things in 2013; the first being buying back the MUTV share that Sky Television owned. That resulted in and for the first time us having obviously full operational control of our TV station and as a result of that we have been putting in place a lot of changes within that organization and indeed investing in infrastructure around it which includes HD. The second thing that we’ve done obviously is to hire David Sternberg who will act as a lightning rod, the person leading, bringing all of these pieces together within our wider media of businesses to generate the digital media product as we’ve described to you in the last year or so. The actual development of the products, the rollouts a bit, nothing has materially changed with regards to the overall strategy. You’ve seen some early parts with regards to some of the social media launches that we have done and that’s all part this approach. We expect the actual products will be launched towards the later parts of 2014, and as I mentioned a few minutes ago no meaningful revenue, emphasis on the word meaningful until ‘15 and ‘16. I think your second question was commercial revenues from a category perspective and a geographic perspective. We monitor this all the time, and there are opportunities that pop up and sometimes aren’t even on our list of core 93 that we have identified sometime ago. The reason that really hasn’t changed, hasn’t developed further, because obviously that is really a vast market from an industry perspective that we can go after. Geographical split; I think we have been learning a lot with regard to Asia. I think we are smarter now about how rich in terms of opportunity from our perspective the various Asian markets are having been out of the cold phase from a regional perspective for pretty much a year now with the team over in Hong Kong. So, we are better off with [the curve] [ph] with regard to which of those markets we would start a new regional product category. I think the U.S. remains a very big opportunity for us, and we have plans in place to roll out and indeed are rolling out some of the regional deals that we've done in Asia, both categories across America and the rest of the world. So, again as ever Randy I'm not going to give you guide as to how many territories or categories that we expect to deliver in the next 12 to 18 months. But you know rest assured, there is still a great opportunity out there for us, as evidenced by the number of deals that we have announced since the balance sheet date; two global deals, four regional deals and 10 financial services and media deals.
Operator: Thank you. We now move on to the next question. This question is from Michael Senno from Credit Suisse. Please go ahead.
Michael Senno - Credit Suisse: Good morning. Just a question of following the refinancing earlier this year, you still have some, the dollar denominated debt at high yield. Is there any thought on another refinancing that would yield some additional interest savings, and in addition you guys also I believe filed a shelf this morning, and just wondering if there any timing and thoughts on the secondary offering that's mentioned in [nutshell] [ph] filings.
Ed Woodward: Thanks Michael. On the refinancing, we are always discussing the market with lead banks out there and obviously keep our finger on the pulse in that regards, looking at what products might make sense to consider refinancing. We’ve got the step down of the coupon in February ‘14, so it’s probably unlikely that we’ll do anything before then, but we’d like to say at this point is there are no plans around refinancing that final piece. But I hope to be able to give you some more color on that in future earnings calls. The second question, on the shelf, that is very much ordinary course. As we sit here today there are no imminent plans around a secondary or indeed primary or indeed a public [inaudible] issuance from a debt perspective. So again on that we will obviously inform you if there are plans, but as we sit here today there aren’t.
Michael Senno - Credit Suisse: Thank you.
Operator: (Operator Instructions). Next question is from Bryan Goldberg from Merrill Lynch. Please go ahead.
Bryan Goldberg - Bank of America Merrill Lynch: Just two quick ones. One is on the U.S. market, it’s big from a media spend standpoint, also from a potential fan base standpoint, English Premier League teams are historically just under-penetrated here. What are you current thoughts with respect to targeting the U.S. market opportunity and what is the best pathway in for the franchise?
Ed Woodward: So you are absolutely right, it’s under-penetrated, very, very big media market, the most developed sports market in the world. I think in particular from a merchandise perspective that stands out as the biggest in the world relative to Europe when you compare it to other metrics like media or sponsorship. And for us we think the best pathway here is to, we are being deliberately measured about the U.S. We obviously have plans around an office. We don’t want to do deals that are quick and wrong and tie us up that we regret afterwards. So we are doing a lot desktop work, a lot of work behind the scenes if you like with regard to opportunities there. You can look at the U.S. market as one whole market. You can look at it as a regional market within the U.S. or even by city which clearly is how the NFL teams monetize their brands on a restricted 75 mile radius of their cities. We are tracking a lot of research in the U.S. as well. I mean, anecdotally, we have seen in the last three years or so the number of people watching Manchester United by going up between 30% and 35% each year over that period of time. So we believe that there has been an inflection point possibly 2010-‘11 where the interest levels in football have increased. So it’s moving away from being a niche sports and much more moving into the territory of competing with some of the top sports in the country. We’ve seen research done for example that shows that it’s a second most popular sport to watch on television for 12 to 24 year olds within the United States.
Bryan Goldberg - Bank of America Merrill Lynch: And then my second question is just on the fiscal ‘14 outlook. I just want to confirm, I apologize if you already talked about this. Does the guidance assume status quo with the existing Nike relationship? And then if there is any way you could help us to think about to quantify, what is, how much of the profit share element of deal is potentially recognizable for you at this point to the extent you were to review the deal earlier than its full life?
Ed Woodward: Thanks. So, yes, it does assume status quo, so there is no assumption in there about a renewal which could bring to boost to the numbers, one being a catch-up of unrecognized profit to-date that has been recognized, and secondly an increase in the amount that Nike will be paying us for a portion of the year or the entire year. The second part of your question is with regards to profit share, you have seen the numbers that we put in the [F1] and how that’s been tracking up, those numbers are in the range of sort of low-teens now in terms of profit share that we expect to recognize this year.
Bryan Goldberg - Bank of America Merrill Lynch: Thank you very much.
Operator: We now have a follow-up from Brian Russo, please go ahead.
Brian Russo - Deutsche Bank Securities Inc.: Thanks. I am trying to get one more follow-up. As we look over long term, your company has a pretty compelling free cash flow generation profile and so kind of like to get your latest thoughts on potential capital return strategy in the future?
Ed Woodward: Thanks, Brian. We also always obviously looking at the future growth of the business over the many, many years and clearly recognize what you just articulated. As things stand, there is no update for you with regard to the capital return plan or policy, but we recognized in our [GT] from a management board perspective. The use of cash has various uses and we don't expect to be building up largely there was cash on the balance sheet in the future. But as things stand I can't guide you with regard to a current or a future intended policy with that in mind.
Brian Russo - Deutsche Bank Securities Inc.: And there is no specific kind of leverage target that you think about, is there?
Ed Woodward: Correct, we're probably comfortable with the leverage levels where we are.
Brian Russo - Deutsche Bank Securities Inc.: Terrific. Thank you.
Ed Woodward: Thank you
Operator: (Operator Instructions). As we have no further questions at this time, I would now like to hand the conference back to Mr. Woodward for closing remarks. Please go ahead, sir.
Ed Woodward: Thank you. Just to say thank you very much everybody talking on the call today. We look forward to speaking to you in a couple of months at our Q1 results. Thank you.
Operator: Thank you very much. Ladies and gentlemen, that does conclude our conference for today. Thank you for participating and you may now disconnect.